Operator: Good day ladies and gentlemen and welcome to the Campbell Soup Company’s second quarter 2008 earnings conference call. At this time all participants are in a listen only mode. Later we will conduct a question and answer session and instructions will be given at that time. If anyone should require assistance during the conference please press star then zero. As a reminder today’s conference call is being recorded. I’d now like to turn the conference over to your host Mr. Leonard Griehs, please begin.
Leonard Griehs: Thank you, good morning and welcome to Campbell Soup Company’s second quarter fiscal 2008 conference call. On our call this morning Anthony DiSilvestro, Vice President and Controller will discuss our results for the second quarter and six months. Bob Schiffner, Senior Vice President and Chief Financial Officer will then offer some comments. A question and answer session will follow, Doug Conant, President and Chief Executive Officer will join us for that portion of the call. Earlier this morning our results were published along with a supplemental schedule for the quarter, both of those items are also posted now on our website, www.campbellsoupcompnay.com. Replay of this call will be available approximately two hours after it’s completed through midnight February 22. The replay number is 1-888-266-2081 or 1-703-925-2533. The access code for that replay is 1195937. This call will also be broadcast over the internet and you may listen by logging on to our website, campbellsoupcompany.com and clicking on the webcast banner. As a matter of policy, our conference calls are open to all interested investors and members of the media. This discussion contains forward looking statements that reflect the company’s current expectations about its future plans and performance. These forward looking statements rely on a number of assumptions and estimates that could be inaccurate and which are subject to risks and uncertainties. These include statements concerning the impact of marketing, investments and strategies, share repurchase, pricing, new product introductions and innovations, cost savings initiatives, quality improvements, portfolio strategy, including divestitures, the impact on sales, earnings and margins and other factors described in our most recent 10K and is updated from time to time by the company in its subsequent filings with the Securities and Exchange Commission. Actual results could vary materially from those anticipated or expressed in any forward looking statement made by the company. Our discussion includes certain non GAAP measures as defined by SEC rules. We have provided a reconciliation of those measures to the most directly comparable measures and that is available on our investor website and is also attached to the earnings release. Now to discuss our second quarter results, here is Anthony DiSilvestro.
Anthony DiSilvestro: Good morning. Before I begin my review, I’d like to make a few comments regarding the basis of presentation of our results. In December 2007, we entered an agreement to sell our Godiva business. Consequently, the results of this business are reported as a discontinued operation on the income statement for all periods presented. On the balance sheet at the end of the second quarter 2008, the assets and liabilities of this business are classified as held for sale. In connection with the pending sale of the Godiva business, we have revised our allocation methodology for corporate overhead expenses and restated historical results of all segments. In 2008, following the recent distribution agreement with Coca Cola North America and Coca Cola Enterprises, sales and earnings of certain beverage products now reported in our US and international soup, sauces and beverages segments were historically included in North America Food Service. For comparability, we restated the historical results of these segments. Additional historical information will be provided in our upcoming form 10Q. Our review will begin with a discussion of results from continuing operations while highlighting items impacting comparability. I’ll then review the results of discontinued operations, also highlighting those items impacting comparability. From our combined total results, including both continuing and discontinued operations, I will provide a detailed reconciliation of reported net earnings per share to our adjusted net earnings per share, excluding all items impacting comparability. Adjusted net earnings per share in the quarter were $0.69 compared to adjusted net earnings per share in the second quarter a year ago of $0.68. For the first half of the fiscal year, adjusted net earnings per share were $1.39 compared to adjusted net earnings per share a year ago of $1.35. Let’s begin our review of continuing operations. Sales for the quarter grew 7% to $2 billion $218 million. Sales growth for the quarter breaks down as follows. Volume and mix added 3%, price and sales allowances added 1% and currency added 3%. Gross margin decreased to 40.1% from 41.2% in the prior year. The decline is primarily due to cost inflation and higher promotional spending which were partly offset by productivity gains and higher selling prices. Marketing and selling expenses increased $19 million to $319 million, primarily due to higher advertising expenses and currency. Administrative expense decreased $4 million to $141 million, primarily due to lower incentive compensation cost. Other expense was $4 million compared to other income of $18 million a year ago. The prior year includes a $23 million gain on the sale of an idle manufacturing facility. Earnings before interest and taxes were $400 million compared to $399 million a year ago. EBIT in the second quarter increased 6% to $400 million, versus an adjusted EBIT of $376 million a year ago which excludes the $23 million gain on the sale of the idle manufacturing facility. Net interest expense was $42 million, up from $38 million a year ago, primarily due to a reduction in capitalized interest and higher net debt levels. The tax rate was 27.4% compared to 28.8% a year ago. The current year rate includes a $13 million tax benefit from the favorable resolutions of a state tax matter. Excluding this item, the current year tax rate was 31.0%. The prior year includes $9 million in taxes against the $23 million gain from the sale of the idle manufacturing facility. Excluding the rate impact of this item, the prior year tax rate was 28.1%. Earnings from continuing operations in the quarter were $260 million compared to $257 million a year ago. The current year includes the $13 million tax benefit from the favorable resolution of the state tax matter. The prior year includes the $14 million gain from the sale of the idle manufacturing facility. Excluding these items, earnings from continuing operations in the current quarter were $247 million compared to $243 million a year ago. Diluted EPS from continuing operations in the current quarter were $0.67 compared to $0.65 in the year ago quarter. The current year includes a $0.03 tax benefit from the state tax matter. The prior year includes a $0.04 gain from the sale of the idle manufacturing facility. Excluding these items, EPS from continuing operations in the second quarter were $0.64 compared to $0.62 a year ago, an increase of 3%. Earnings from discontinued operations for the quarter were $14 million versus $28 million a year ago. The current year reflects $9 million pretax or $5 million after tax of costs related to the pending Godiva business divestiture. The prior year reflects a $3 million pretax or $1 million after tax increase to the gain from the sale of the UK and Ireland businesses. Excluding these items, earnings declined in Godiva primarily due to lower retail sales in North America and higher selling and marketing costs. Net earnings per share for the quarter were $0.71 compared to $0.72 a year ago. The current year includes the $0.03 tax benefit from the favorable resolution of the state tax matter. The current year includes $0.01 per share of costs related to the Godiva business divestiture. The prior year includes the $0.04 gain from the sale of the idle manufacturing facility. Adjusting for these items, adjusted net earnings per share in the second quarter were $0.69 compared to $0.68 a year ago. Now, let’s turn to year to date performance from continuing operations. Net sales grew 7% to $4 billion $403 million. Sales growth for the six months breaks down as follows. Volume and mix added 4%, price and sales allowances added 1%. Increased promotional spending deducted 1% and currency added 3%. Gross margin decreased to 40.4% from 41.5%. The decline is primarily due to cost inflation and higher promotional spending which were partly offset by productivity gains and higher selling prices. Marketing and selling expenses increased $47 million to $615 million, primarily due to higher advertising expenses and currency. Administrative expense increased $9 million to $282 million, primarily due to the impact of currency. Research and development costs increased $2 million to $52 million. Other expense was $4 million compared to other income of $16 million a year ago. The prior year includes the $23 million gain on the sale of the idle manufacturing facility. Earnings before interest and taxes were $828 million compared to $834 million a year ago. EBIT increased 2% to $828 million from an adjusted EBIT of $811 million a year ago which excludes the $23 million gain. Net interest expense was $84 million, up from $79 million a year ago, primarily due to a reduction in capitalized interest and higher net debt levels. The tax rate was 29% compared to 30.6% a year ago. The current year rate includes the $13 million tax benefit from the state tax matter. Excluding this item, the current year tax rate was 30.8%. The prior year rate includes $9 million in taxes against the $23 million gain from the sale of the idle manufacturing facility. Excluding the rate impact of this item, the prior year tax rate was 30.3%. Earnings from continuing operations for the six months were $528 million compared to $524 million a year ago. The current year includes the $13 million tax benefit from the state tax matter and the prior year includes the $14 million gain from the sale of the idle manufacturing facility. Excluding these items, earnings for the six months were $515 million compared to $510 million a year ago. Diluted EPS from continuing operations for the six months were $1.36 compared to $1.31 a year ago. The current year includes the $0.03 tax benefit from the state tax matter. The prior year includes the $0.04 gain from the sale of the idle manufacturing facility. Excluding these items, EPS from continuing operations were $1.33 compared to $1.28 a year ago, an increase of 4%. Earnings from discontinued operations for the six months were $16 million, versus $52 million a year ago. The current year reflects $9 million pretax or $5 million after tax of costs related to the pending Godiva business divestiture. The prior year reflects a $39 million pretax or $23 million after tax gain from the sale of the UK and Ireland businesses. The change in Godiva earnings is primarily due to softness in North America retail and higher cost inflation. Net earnings per share for the half were $1.41 compared to $1.44 a year ago. The current year includes the $0.03 tax benefit from the state tax matter. The current year also includes $0.01 of costs related to the Godiva business divestiture. The prior year includes the $0.04 gain from the sale of the idle manufacturing facility. The prior year also includes a $0.06 gain from the sale of the UK and Ireland businesses. Excluding these items, adjusted net earnings per share were $1.39 compared to $1.35 a year ago, an increase of 3%. Now, let’s turn to operating highlights by reporting segment. I will primarily discuss the numbers for the quarter. The supplemental schedule attached to the financial release contains six month comparisons. I will offer some comments on the year to date numbers where they make comparisons more meaningful. Restated segments by quarter and year to date for fiscal 2007 and fiscal 2006 to reflect the sale of our Godiva business and the reclassification of our beverage sales will be provided in the second quarter 10Q. US soup, sauces and beverages, sales for the quarter of $1 billion $93 million were up 6% from $1 billion $30 million a year ago. The sales increase for the quarter breaks down as follows. Volume and mix added 6%, price and sales allowances added 1%, increased promotional spending deducted 1%. Total soup sales increased 4% compared to a 1% decline in the year ago quarter. And for the first half, soup sales increased 2% compared to a 4% increase a year ago. Condensed soup sales declined 1% for the quarter and 2% for the first half. Ready to serve soup sales increased 8% for the quarter and 3% for the half. Broth sales increased 18% for the quarter and 12% for the half. The following comments for soup apply to both the quarter and the first half. Sales of condensed soups declined primarily due to a decline in cooking varieties. Healthy request condensed soups and the three icon varieties, chicken noodle, tomato and cream of mushroom performed well as did lower sodium condense soups. In ready to serve, sales gains from chunky and select soups and cans were partly offset by declines in the convenience platform which includes soups in microwavable bowls and cups. Sales of chunky soups benefited from increased advertising and promotional activity and the introductions of chunky fully loaded. Growth in sales of select soups was primarily driven by higher advertising and promotional activity. Across the portfolio, sales benefited from reduced sodium products which continue to perform well. Broth sales increased due to a strong holiday season and the first quarter launch of additional sizes of aseptic varieties. Returning to second quarter performance, I will now comment on highlights of our other categories in this reporting segment. The beverage business recorded strong sales growth primarily due to gains V8 V-fusion and V8 vegetable juice. V8 V-fusion, introduced two years ago, continues to grow as we have introduced new varieties. V8 vegetable juice recorded strong sales gains primarily driven by lower sodium varieties which resonate with consumers who are increasingly focused on their health and wellness. Sales of V8 splash juice beverages also increased in the quarter. Prego pasta sauce sales increased in the quarter. Sales of Pace Mexican sauces increased in the quarter due to the launch of the new specialty salsa line. Operating earnings for US soups, sauces and beverages were $286 million compared with $274 million in the prior period, an increase of 4%. The increase in operating earnings was driven by higher sales and productivity gains, partially offset by cost inflation and higher advertising. Baking and snacking, sales for the quarter were $491 million compared with $454 million, an increase of 8%. Sales growth for the quarter breaks down as follows. Price and sales allowances added 4%, currency added 5%. The divestiture of our Papua New Guinea business subtracted 1%. Operating earnings were $68 million versus $77 million a year ago. Operating earnings in the prior quarter include a $23 million gain from the sale of the Pepperidge Farm idle manufacturing facility. The remaining increase was primarily driven by double digit gains of Pepperidge Farm and currency. Within Arnott’s, gains in biscuits were offset by declines in the snack foods business. Returning to sales highlights in the quarter, Pepperidge Farm continued its strong performance driven by volume gains in all businesses, cookies and crackers, bakery and frozen. In cookies and crackers, sales gains were driven by continuing growth in goldfish crackers and growth in distinctive varieties and 100 calorie pack cookies. Bakery posted significant sales gains driven primarily by continued consumer demand for whole grain bread and growth in sandwich rolls. Arnott’s sales increased due to favorable impact of currency, partly offset by declines in our snack foods business. International soup, sauces and beverages, sales were $458 million compared to $404 million, an increase of 13%. Sales growth breaks down as follows, volume and mix added 3%, price and sales allowances subtracted 1%, increased promotional spending subtracted 1% and currency added 12%. Operating earnings were $61 million compared to $58 million in the prior year, an increase of 5%. Operating earnings performance was driven by the favorable impact of currency, partly offset by costs to launch products in Russia and China. Let’s review some highlights of sales growth for the quarter. Sales in Europe increased primarily due to the favorable impact of currency and gains in Belgium and France, partly offset by a decline in Germany due to our exiting the private label business. Canada sales increased due to the favorable impact of currency and gains in beverages. North America food service, sales were $176 million, flat versus year ago. Components of sales break down as follows. Volume and mix deducted 1%, price and sales allowance added 1%. Increased promotional spending subtracted 2% and currency added 2%. The favorable impact of currency was offset by sales declines in our refrigerated soup business. Operating earnings were $20 million compared with $25 million in the year ago quarter. This decline was primarily due to cost inflation and higher promotional activity, partly offset by productivity gains and higher selling prices. Now, let’s turn to cash flow and the balance sheet. Cash from operations for the first half was $442 million as compared to the prior year of $328 million. The prior year included a payment of $83 million to settle foreign currency hedges related to the company’s divested UK and Ireland businesses. Capital expenditures were $90 million compared to $121 million a year ago. Total debt at quarter end was $2 billion $756 million compared to $2 billion $856 million a year ago. Cash and cash equivalents were $95 million as compared to $483 million in the prior year. Net debt which deducts cash and cash equivalents from total debt was $2 billion $661 million versus $2 billion $373 million in the prior year, an increase of $288 million. We currently have two ongoing share repurchase programs, our strategic share repurchase program of 600 million which commenced in November 2005 and runs through fiscal 2008 and our anti dilutive repurchase program which offsets the impact of shares issued under our incentive compensation programs. Combining these two programs, we spent $203 million to repurchase 5.7 million shares during the first half. That concludes my discussion on the second quarter, now here are a few comments from Bob Schiffner.
Bob Schiffner: Thanks Anthony and good morning everyone. Given the unprecedented increase in commodity and energy costs, I am actually quite pleased with our overall financial performance for the second quarter and half year. Although our gross margins were unfavorably impacted by cost inflation and insufficient carry and pricing, our strong top line growth and effective spending controls have enabled us to generate first half adjusted EPS growth from continuing operations of 4% which is just below our annual growth target. Going forward, I believe we are well positioned to generate stronger second half earnings performance since the pricing actions taken this fiscal year should enable us to generate significantly improved second half margins. Although it is not likely that we will achieve flat gross margins for the full year, we will enter fiscal year 09 in a position to achieve further margin improvement. Given the expected improvement in second half earnings performance, we are keeping our full year EPS guidance at 5-7% growth in adjusted net earnings per share from the adjusted fiscal 2007 base of $1.95. Note that we expect that second half earnings improvement will be skewed very dramatically to the fourth quarter. Given the pending sale of Godiva, we will update our guidance once the sale is complete. In closing, I’d like to highlight some of the bright spots in our business this quarter. As Doug mentioned in the press release, our US soup business rebounded in the second quarter led by strong broth and ready to serve soup performance. Our low sodium varieties continue to perform well and be highly incremental. Pepperidge Farm despite battling significant increases in ingredient costs continues to produce a high level, generating double digit earnings performance in the first half. This business is growing significantly with key customers and is benefiting from consumer’s preference for whole grain product. Our US beverage business also continues to be a stellar performer. Beverage sales were up 20% in the quarter and are up 25% year to date. While we don’t expect this kind of sales increase in future quarters due to more difficult comparisons, we expect this business to once again be our best performer for the year. And now I’ll turn it back to Len for your questions.
Leonard Griehs: Amy could you start the Q&A session please?
Operator: Certainly, ladies and gentlemen if you have a question at this time please press the one key on your touchtone telephone. If your question has been answered or you wish to remove yourself from the queue, please press the pound key. And our first question comes from Robert Moskow of Credit Suisse. Your line is open.
Robert Moskow – Credit Suisse: Hi, thank you, you used to have a guidance of 7-9% EBIT growth for the year. I didn’t see that in the press release. Are you withdrawing that?
Bob Schiffner: No we’re just going to update it at the time of the Godiva sale.
Robert Moskow – Credit Suisse: Okay and how are you, the numbers are getting pretty confusing as far as to how the first half is going. Where would you say you are in terms of the first half in terms of EBIT growth? Compared to that original 7-9.
Bob Schiffner: Well our EBIT growth for the first half is up about 2% and obviously we are behind that estimate for the year. We also expect that in fact EBIT growth will in fact pick up in the second half but in fact we’re just going to withhold commenting on the total year until the Godiva sale is passed. You know we think it’ll just be a much clearer discussion at that point.
Robert Moskow – Credit Suisse: Okay and then Bob about the pricing that you’re pushing through, can you be more specific on where the pricing is coming. Is it all in soup? And then since the soup season is mostly over, you know how much soup price realization can you really get in this fiscal year?
Bob Schiffner: Well the pricing is really across the board. There are very few businesses or segments not taking some kind of price you know in this fiscal year. As far as US soup pricing is concerned, I can’t specifically comment on that. In terms of our overall US soup, sauces and beverages business, our price increase is roughly 5% and so it is again across the board including soup products and you know we expect to generate reasonably strong price from those actions in the second half.
Robert Moskow – Credit Suisse: You think a lot of it will flow through in the second half?
Bob Schiffner: Yes and also in fact, remember that in fact we also have an extra week in the second half as well.
Robert Moskow – Credit Suisse: Okay, thanks Bob.
Doug Conant: Robert, building on that, this is Doug, the price will flow through more fully in the fourth quarter than it will in the third quarter as it’s just in the process of being implemented now.
Robert Moskow – Credit Suisse: Okay, thank you.
Leonard Griehs: Okay, next question Amy.
Operator: Our next question comes from Vincent Andrews of Morgan Stanley. Your line is open.
Vincent Andrews – Morgan Stanley: Okay, good morning everybody. Could you, previously you’ve given guidance in terms of the input cost inflation as a percent of [unintelligible], I think [unintelligible] updated that in the release. Would you care to comment on that?
Bob Schiffner: Yeah we think it’s about what we’ve historically said 6-7%.
Vincent Andrews – Morgan Stanley: Okay and is there lack of a change due to hedging or is a lot here changed just that your particular input still fall within that band?
Bob Schiffner: I would say that it’s a little bit of both.
Vincent Andrews – Morgan Stanley: Okay and in the last quarter you called out the weather as having an effect on your performance, do you, think that’s an issue now, do you want to comment on that at all during the quarter that you just reported?
Doug Conant: No and the call out on the weather was just, it effected the quarterly inventory build for our customers but we don’t have, see any impact of weather on our performance.
Vincent Andrews – Morgan Stanley: Okay and then lastly, on low sodium you know previously you’ve talked about how incremental it’s been and I forgot the exact numbers that you’ve given, is there any update to that incrementality?
Doug Conant: I’ll give a full, it is highly incremental, I’ll give a full update at CAGNY next week.
Vincent Andrews – Morgan Stanley: Okay and then lastly just any update on your, the performance from China and Russia or how the implementation looks like.
Doug Conant: The execution of the markets, of the startup of the lead markets is going well. We’ve only been shipping for four months in Southern China in the lead market and just a few months in in Moscow, Russia. I’ll give a full update at CAGNY.
Vincent Andrews – Morgan Stanley: Okay and then one last one, on the microwavable bowls, this is the second quarter that you’ve called out some weakness in that performance, what do you think that’s due to? Do you think there’s any sort of shift due to a weakening consumer away from convenience or negative mix shift, is that what it is?
Doug Conant: Not particularly, we’re lapping a huge first half a year ago when the sales were up 14% on microwave products and some of this is promotionally driven. Our promotional spending is a little down in the first half and its planned to be up in the second half. And we have other plans that should keep microwave going over time at the category average if not better.
Vincent Andrews – Morgan Stanley: Okay, thank you, I’ll pass it along.
Operator: Our next question comes from David Palmer of UBS.
David Palmer – UBS: Hey guys, I was going to ask about that microwavable platform a bit. You made that general comment that you’re going to be doing something in the future to make it grow as fast as the category. But I’m wondering, maybe you can give it a little bit more color as to why that segment, it seems like a problem at this point, it’s been declining so rapidly, is there any commentary you can offer?
Doug Conant: Well, in the first half it’s just lapping big numbers, 14% sales growth and we have some promotional spending shift which is going to be more pronounced in the second half than in the first half. We’re also in the process of rolling out our gravity fed shelving system in a significant way over the next couple of years which should help dramatically get, help us life that segment up pretty significantly. But I’d say now it’s more of a timing issue than it is a consumer issue.
David Palmer – UBS: And have you, I’ve heard from channel checks that the promotions have been stepped up at some retailers a little bit more, the ten for ten type stuff out there. Could you comment on that in terms of your strategy, the competitive environment with regard to value and the kind of the steamier deals.
Doug Conant: Well, we’re, I’m not going to get into specific trade promotions strategy but I will say we’ve tried to moderate our competitive posture there. We intend to be competitive but not to be overly aggressive. All of our marketing mix modeling suggests that the opportunity to revitalize the category and to grow it is connect with the consumer now through trade promotions. So that’s our intent and that’s why you see our advertising going up.
David Palmer – UBS: And one last one, did you disclose in this release, because I missed it, about Godiva’s same store sales. I mean is that appropriate at this point to ask about that?
Doug Conant: Well, they were down just like other high end retail. They were down and North America is our biggest market, so that was the primary concern. Actually our wholesale business was up a [tich], so it was really the retail environment in our stores in the holiday season.
David Palmer – UBS: Okay, I’ll stop there, thanks again.
Operator: Our next question comes from Pablo Zuanic with J.P. Morgan.
Pablo Zuanic – J.P. Morgan: Hi, good morning everyone. Just I’m trying to think here about the condensed and broth, because of the drop in cooking and condensed, is that being picked [up] by broth and maybe should we think about looking at the two categories on a combined basis? Is there some of that going on, is that what explains the drop in cooking condensed soups?
Doug Conant: Well, first of all, broth is on fire and has been for several years and I’ll cover some of this at CAGNY. So, broth has been growing at a nice rate as we have been growing cooking soups as well. So they’ve both been growing until this first half. And so there was no, it’s not like this is a long term trend. We had a few tactical missteps with our cooking soups in the first half and we’ve addressed them and expect them to get back on track. So I don’t see a relationship there, although we do look at them and we look at total cooking behavior internally. We see opportunities for growth here. The broth product is used in many applications but not heavily in casseroles and our cream soups, our cooking soups are heavily casserole oriented and that catch all business is going to continue to grow as well. So, they ought to be able to grow in parallel with one another.
Pablo Zuanic – J.P. Morgan: And just to follow up, for Bob, Bob in the first quarter you know soup margins or soup, sauces and beverages margins were down about 230 basis points year on year, in the second quarter they are down only 40 basis points, although as you said there wasn’t much price, there was no price realization, I’m just trying to understand what explains that. Is it just the scale issue, that sales were down in the first quarter and now you have better sales? Or what else is there going on, you’re spending more, the pricing is flat yet the margin trend it’s a lot better, I’m just trying to get a sense of what explains that.
Bob Schiffner: We had improved SG&A cost performance which is one thing and you always get shifts in trade promotion and some shifts in mix so all of those things come together to generate the performance that you’ve mentioned.
Doug Conant: Pablo you almost have to look at it across the half and then we’ve got to look at it, the second half, once our pricing gets traction in the second half.
Pablo Zuanic – J.P. Morgan: Right and just one quick follow up, to be clear, the base of $1.95, that is not adjusting yet for Godiva right? So we still don’t know whether it’s going to be dilutive or accretive, can you shed some light on that?
Bob Schiffner: You’re absolutely right in that the $1.95 still includes Godiva and we will get into the accretion dilution issue when we close Godiva and we update our guidance.
Pablo Zuanic – J.P. Morgan: And one last one, in terms of inventories of the trade, but the end of the second quarter would you say they were balanced or were there shipments [unintelligible] take aways in the second quarter?
Bob Schiffner: They were balanced, fairly equivalent to what they were in the prior year.
Pablo Zuanic – J.P. Morgan: Okay thank you.
Operator: Our next question comes from Mitchell Pinheiro of Janney Montgomery.
Mitchell Pinheiro – Janney Montgomery Scott: Hey, good morning. In terms of pricing, Bob you talked about 5% pricing in the US soup and sauce beverage, can you talk about what you, so your, we should expect in pricing on the other lines in baking and snacking and international.
Bob Schiffner: We’ll have pricing in baking and snaking and you know I would expect some pricing in international soups, sauces and beverages as well but probably not as much.
Mitchell Pinheiro – Janney Montgomery Scott: Not as much as baking and snaking or not as much as…
Bob Schiffner: As the other segments which we’ll show.
Doug Conant: Mitch, the baking and snaking pricing has been going along at a fairly steady pace during the course of the year. Our soup pricing basically had to be held back because we had a promotion schedule where we had to wait until February to take it. So it just has a different profile than the baking and snaking pricing.
Mitchell Pinheiro – Janney Montgomery Scott: One would think with 4% soup growth and double digit V8 growth, clearly two of your highest margin businesses, you know would have expected a little better operating margin performance despite the heavy cost inflation, is it just, is it that, that your pricing lag here, is [overlay].
Bob Schiffner: Absolutely.
Mitchell Pinheiro – Janney Montgomery Scott: Okay, so that’s the primary issue there?
Bob Schiffner: Yes it is.
Doug Conant: Mitch, largely, the way to think about it at the company anyway, we delivered 7% sales growth, if we had just held our gross margin which we’ve demonstrated the ability to do when we forecast prices correctly, we would have delivered $50 million more in EBIT, it would have been an 8% EBIT growth and an 8% EPS growth with 7% sales growth. And we just missed the call.
Mitchell Pinheiro – Janney Montgomery Scott: Okay, okay, one last thing, have you seen any, with condensed usually condensed is viewed as a, might be a good recessionary product. Is there any, are you seeing any trends along that line? I know we’re talking cooking and eating and those habits but is there any return to value at all here that you’re seeing yet in the numbers?
Doug Conant: We think there’s a latent opportunity for that. Obviously we haven’t tapped into it yet otherwise I’d be reporting better numbers, but we think we’re well positioned here and we expect better things in the first and the second half than we had in the first half.
Mitchell Pinheiro – Janney Montgomery Scott: Okay, thank you very much.
Operator: Our next question comes from Jonathan Feeney of Wachovia Securities.
Jonathan Feeney – Wachovia Securities: Good morning and thank you. Could you update us, I think we talked a little bit about, some of the capacity constraints you might have in that beverage business right now, I know the CCE deal has been huge for you and are we capacity constrained and what do we, when will new capacity come on to sort of fund this growth?
Doug Conant: One thing, Bob will talk to you about the capacity piece in a minute, we’re putting some in, but the important thing is we’re just getting going with the Coke and the CCE deal. Largely what’s driving our performance is our base business and our marketing efforts right now against V8, V8 V-fusion and V8 splash. So the best is yet to come on this deal as we’re just, we just started shipping in September. Bob, do you want to give him an update on the capacity.
Bob Schiffner: As far as the capacity is concerned okay we are nearing capacity constraints but you know we’re planning this looking forward and you know we will be spending capital starting this year into next year to add additional capacity in beverage.
Jonathan Feeney – Wachovia Securities: Okay and just Doug if you would allow me to follow up on Mitch, you mentioned latent possibilities for soup to be sort of a recession buster, counter cyclical product, it would seem to me that prepared meal in general, where I think soups offer a tremendous amount of value would be the first place maybe people rotating from food away from home to food at home you know in some tougher times would look in the grocery store. Did that happen in the early 90’s? I don’t know on a [granulover] basis.
Doug Conant: It’s hard for us to tease out those kind of nuances because soup in season is much more responsive to promotional activity than it is those kinds of trends and so it’s just hard for us to tease out the nuances. But your instincts are right and I would encourage you to go out and tell all your neighbors that this is the perfect recession food.
Jonathan Feeney – Wachovia Securities: I’ve been doing all I can.
Doug Conant: Alright, I’m counting on you.
Jonathan Feeney – Wachovia Securities: Thank you.
Operator: Our next question comes from Terry Bivens of Bear Stearns.
Terry Bivens – Bear Stearns: Morning gentlemen. Doug back on condensed, you know that, I guess there’s still a theory out there that as condensed goes, so goes the company. If you look back over the past three quarters though it’s been kind of tough sledding in condensed and you know yesterday Tree House pointed to what they called you know warm weather in terms of the private label piece of it, you guys are addressing more the cooking soups. You know my question is, what seems to have caused what had been a pretty good performer for you guys to kind of going into the tank a little bit here over the last three quarters?
Doug Conant: Well first of all, there is a great observation you had is obviously our condensed soup has been a little soft for a few quarters but our company has done quite well. So the first observation is that we’re not a one trick pony and that the rest of the company can deliver in a quality way. The second observation I would have around condensed soup is that you know we’ve demonstrated the ability when we innovate on the product and when we have news we’ve driven nearly a 4% compound annual growth rate in condensed soup over the last three years and 3% over the last five years. We believe that as long as we maintain our innovation momentum and don’t have any tactical missteps, we ought to be able to continue to aspire to that kind of sales performance because it does fit into consumer trends and lifestyle. Now, our innovation has not been as robust this year and we did have a tactical misstep or two along the way which caused us to have a soft first half. I believe we’ll have a stronger second half and I believe we’ll be positioned for next year as we lap the weak first half we’ve had this year. So I’m feeling okay about it, I wish we’d done better but we will.
Terry Bivens – Bear Stearns: Okay and kind of the same question to RTS, you know there is a bit of a feeling out there that maybe they caught you a bit off guard this year with things like Progresso light et cetera, what’s your feeling about that going forward vis-à-vis the competitive dynamic there with Progresso?
Doug Conant: Well, we just need to do better. We are the 800 pound gorilla in this category. We dominate all the segments whether it’s condensed, ready to serve or broth. We have all the capabilities in the world, we just need to do better and you saw we did better in the second quarter and I expect we’ll continue to do better and we’ll highlight some of the initiatives we have going forward at CAGNY. But we just need to do better. You know, we’ve done okay, we need to do better.
Terry Bivens – Bear Stearns: Okay, fair enough and just one last thing, I think Bob you mentioned 5% on the North American soups and sauces, would we be, price increase that is, would we be able to assume that maybe it was a little more in line with your overall 6-7 inflation rate when we look at just the soup side of things?
Bob Schiffner: First of all, it wasn’t the North American it was the US soups, sauces and beverages. Okay and I mean clearly as we go into the second half, Terry, you know this price increase wasn’t taken until earlier this month. So obviously we expect a better matching of cost and price in the second half and you know that’s what our expectation is.
Terry Bivens – Bear Stearns: Okay, very good, I’ll see you guys at CAGNY.
Operator: Our next question comes from Alexia Howard of Sanford Bernstein.
Alexia Howard – Sanford Bernstein: Hello, couple of quick things, picking up on the theme of macroeconomic jitters out there, I wondered if you could just, to the food service segment, given that I guess sale growth was pretty stagnant this quarter, seeing as that their margins are down, are you seeing a bit of a slow down or are there other things going on for you in food service that are causing that deterioration in performance?
Doug Conant: In our case I don’t think there are any fundamental trends that are affecting us. The away from home segment is a little bit soft overall in the economy but our initiatives, our performance is more linked to the initiatives we’ve taken and we, I think you just have to view it as a soft second quarter. We’re very optimistic and I’ll cover about our food service business, I’ll actually cover that at CAGNY next week.
Alexia Howard – Sanford Bernstein: Okay great and just one more one, the rollout of the gravity feed shelving system in the ready to serve segment, I know that had kind of got a bit of a false start, or it was getting going but perhaps not as quickly as you would like. Could you give us an update on where that is and is it picking up and are you seeing incremental sales from that at the moment?
Doug Conant: Well, I’ll give a more complete update at CAGNY next week but the overall story is the ready to serve rollout is going as we planned it and we are seeing the change in performance when it’s implemented that we expected to see. And so we’re pleased with the way it’s going. It just goes a little slower because several more competitors have to be involved in the decision making and the category for the customer to install it. So it’s just a slower process but it’s going as we planned it to go.
Alexia Howard – Sanford Bernstein: Okay, great, thank you.
Operator: Our next question comes from Andrew Lazar of Lehman Brothers.
Andrew Lazar – Lehman Brothers: Morning everyone. Doug you had mentioned sort of what could have been in terms of EBIT growth and EPS growth if you were able to have held gross margins flat in the quarter, even with the minimal pricing that you’ve gotten, I mean gross margin dollars were still up a couple of 4% or so, the pricing that you’re now taking or thinking ahead kind of the next [tube] season, is that meant to try and sort of maintain or grow your gross margins in dollars or is that actually attempting to get back to a point where you can keep your margins stable? Because if it’s the latter obviously you know that would suggest if it flows through the way you’d hope, obviously it could be a pretty powerful driver around the EBIT and the EPS line.
Doug Conant: Andrew just to, the comment I had was around first half not the quarter. I’d step back and I’d look at our philosophy as the pricing and productivity ought to be offsetting our costs. They didn’t in the first half and our margins were troubled. Our pricing now is designed to position us to get back on a margin growth track and when you couple it with productivity initiatives starting in F09. But you know we have miles to go before we sleep here. We underestimated costs coming into this year and we’ve got to make sure we’re right on top of our game as we go into next year.
Andrew Lazar – Lehman Brothers: Well that’s what I’m getting at, I’m trying to get a sense [overlay].
Doug Conant: But the game plan is as we see it is we believe we can take pricing and productivity to improve our percentage gross margin going into next year. That’s our goal.
Andrew Lazar – Lehman Brothers: That’s the goal okay that’s helpful and then a number of other companies not surprisingly have kind of said hey with this type of inflation and these types of pricing increases, the age old kind of volume sensitivity and elasticity models might not prove overly helpful. Do you feel like that same sort of level of risk around this type of pricing as others might or is your sense from past experience and given your own specific category dynamics and what you’re seeing competitively give you a level of comfort that this type of pricing works through the way you’d like.
Doug Conant: Well, it’s a lot of price and we are anxious about it. We’re going to manage it. We wouldn’t have taken it if we didn’t think the next impact would have been positive. But this is something we’ve got to manage very carefully. The good news is that if we’re just talking about soup, the soup category is well positioned relative to other simple meals. Due largely to all of our innovation and initiatives over the last five years, we’ve got the soup category growing at a faster rate than other simple meals. And so we’ve got good momentum over time in this category. I think it can hold the pricing relative to other simple meals but we have to prove ourselves.
Andrew Lazar – Lehman Brothers: Okay and then just a very quick one and this might be more you know CAGNY related and that’s fine, but in terms of how you think about in soups specifically [count of] innovation, you’ve tended to say, what are the big sort of platforms, right whether it’s low sodium or maybe more broader the way you think about it, health and wellness and what have you and others have maybe gone for more depending on their own business more niche opportunities coming here and there. Do you still think the broader platform is the way to go or is there an opportunity to keep doing that but also be maybe more aggressive in some of the niches given you are the 800 pound gorilla and should kind of own every different sort of consumer occasion or desire in soup that’s out there.
Doug Conant: Over time we intend to do that. I still believe that the three platforms we’ve established corporately have a lot of runway on them and when I talk about wellness, I talk about convenience and I talk about quality and premium. And those are the three primary platforms and I think there’s a lot of upside there and I’ll hit this pretty hard when we get to CAGNY next week.
Andrew Lazar – Lehman Brothers: Got it, good, see you then.
Operator: I’m showing no further questions sir.
Leonard Griehs: Okay very good, thank you everyone and we hope that if you cannot attend CAGNY next week that you will listen on our webcast, we will be on Wednesday morning before lunch and invite all of you to attend then. Thank you very much.
Operator: And ladies and gentlemen this does conclude today’s conference. Thank you for your participation and have a wonderful day. You may all disconnect.